Operator: Good day and welcome to the Asbury Automotive Group Second Quarter 2022 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Karen Reid. Please go ahead.
Karen Reid: Thanks, operator, and good morning, everyone. As Kevin noted, today's call is being recorded and will be available for replay later this afternoon. Welcome to Asbury Automotive Group's second quarter 2022 earnings call. The press release detailing Asbury's second quarter results was issued earlier this morning and is posted on our website at asburyauto.com. Participating with me today are David Hult, our President and Chief Executive Officer; Dan Clara, our Senior Vice President of Operations; and Michael Welch, our Senior Vice President and Chief Financial Officer. At the conclusion of our remarks, we will open the call up for questions, and will be available later for any follow-up questions. Before we begin, we must remind you that the discussion during the call today is likely to contain forward-looking statements. Forward-looking statements are statements other than those which are historical in nature, which may include financial projections, forecasts, and current expectations, each of which are subject to significant uncertainties. For information regarding certain of the risks that may cause actual results to differ materially from these statements, please see our filings with the SEC from time-to-time, including our Form 10-K for the year ended December 2021 and any subsequently filed quarterly reports on Form 10-Q, and our earnings release issued earlier today. We expressly disclaim any responsibility to update forward-looking statements. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, we provide reconciliations to any such non-GAAP financial measures to the most directly comparable GAAP measures on our website. We've also posted an updated investor presentation on our website, asburyauto.com, highlighting our second quarter results. It is now my pleasure to hand the call over to our CEO, David Hult. David?
David Hult: Thank you, Karen, and good morning, everyone. Welcome to our second quarter earnings call. We continue to make strong progress towards our 2025 plan. For the quarter, we grew adjusted EBITDA by 126 million to 352 million, and adjusted EPS from $7.78 to $10.04, an increase of 29%. Delivered an 8.5% adjusted operating margin, increased revenue by $1.4 billion to $4 billion and increased gross profit by $305 million to $803 million, and drove F&I gross profit per vehicle to $2,390, up [563]. During the second quarter, we executed on our plan of continuing to integrate our acquisitions and reducing our net leverage. In addition, the systems integration for the rollout of Clicklane and Total Care Auto was completed. Combining our fully transactional tool with TCA requires significant work to integrate systematically across all platforms. We will start rolling out Clicklane to our acquired dealerships and TCA into the legacy Asbury stores during this quarter. In the second quarter, we sold almost 6,600 units through Clicklane, growing 17% from the first quarter of 2022 and 55% year-over-year. Clicklane is currently installed at 88 of our 155 dealerships and is on pace to provide approximately $1 billion of revenue in 2022. Currently, our unit sales are governed by the lack of new vehicle inventory and our advertising campaign has been on hold until inventory levels improve. Once completely rolled out, to all 155 stores will be on pace for $2.2 billion in revenue through Clicklane by the end of 2023. TCA provides us the opportunity to expand our business horizontally into our F&I business. TCA generated 36 million of income year to date on the LHM stores, excluding unrealized losses on investment. Once completely rolled out to all 155 stores and with future acquisitions, we expect EBITDA from this unique asset to hit 185 million by 2025. We continue to experience solid demand across all of our revenue streams, but we do not anticipate a meaningful recovery in new inventory levels in 2022. Year to date, we have generated 544 million of adjusted operating cash flow. Net leverage decreased from 2.7x at year-end to 2.1x at the end of the second quarter. Our strong cash flow and reduced leverage will allow us to shift our focus to strategic acquisitions and share buybacks. With consumers financially healthy, consumer financing readily available, the car park aged to record levels and sizable pent up demand combined with our technology to improve efficiency and productivity, we are well-positioned to weather the current market conditions. We look forward to continuing to deliver strong results for our shareholders be outstanding partners with our OEMs to steward their great brands and offer an environment where our team members can thrive, while providing the most guest centric experience in automotive retail. We have the right brands in the right states with the right people to execute our strategy to grow and improve our business. Finally, I would like to acknowledge the hard work and dedication of all my fellow Asbury teammates. It is through your efforts that we continue to produce strong results for our shareholders and be the most guest centric automotive retailer to serve our guests. Thank you. I will now hand the call over to Dan to discuss our operating performance. Dan?
Dan Clara: Thank you, David, and good morning everyone. First, thank you to all of our dedicated teammates who worked so hard to fulfill our commitment to being the most guest centric automotive retailer. Now, I'll turn to our same store performance compared to the second quarter of 2021, unless stated otherwise. Starting with new vehicles. In the second quarter, new vehicle inventory continued to remain well below normalized levels and consumer demand continue to outstrip supply. At the end of June, our total new vehicle inventory was $238 million and our day supply was at 13 days, down four days from the prior year quarter. Due to supply constraints, our new vehicle volume declined 31% year-over-year. However, we experienced a significant increase in our new average gross profit per vehicle, which increased $1,913 from the prior year quarter to $5,793. We anticipate new inventory levels to remain low through 2022 and we are focused on maximizing profitability, while also remaining steadfast in our commitment to our guests and our mission to be the most guest centric automotive retailer. Turning to used vehicles. We had a 12% increase in used retail revenue even with a 2% decrease in our used retail volume. Used gross profit PBR was $2,213. Our total used vehicle inventory ended the quarter at $425 million, which represents a 34-day supply down 3 days from the prior year. One of the many benefits of the franchise model is the different venues to source vehicles such as, lease turn-in, trades, loaner cars, and direct purchase from consumers, including our recently launched Clicklane [sell your car tool] [ph]. 90% of our used inventory comes from the sources I just mentioned. Our used to new ratio for the quarter was 120%, up from 84% in the prior year quarter, representing 98 used vehicle sales per rooftop. Shifting to F&I, we delivered a strong quarter in F&I with an F&I PBR of $2,409, an increase of $579 compared to the prior year quarter. Thank you to all of our F&I team numbers for these tremendous results. In the second quarter, our total front-end yield per vehicle increased $1,061 per vehicle to a total of $6,250. Moving to parts and service. Our parts and service revenue increased 10% in the quarter. The warranty revenue, which is outside of our control from 19%, our customer pay revenue continue its strong rebound, posting 15% growth. Jumping to Clicklane. Clicklane continues to exceed our expectations in conversion rates, transaction times, new used PVR, F&I PVR and most importantly the guest experience. We sold almost 6,600 vehicles through Clicklane in the second quarter, a 17% increase from the first quarter 2022. In fact, in the second quarter, it was Clicklane’s best quarter ever with June posting the most Clicklane sales since its inception. In addition, our marketing team continues to drive traffic through the relentless efforts in [SEO] [ph]. As a reminder, SEO is all content built internally and does not require paid search. We experienced a 16% increase in unique visitors year-over-year to our websites, who want to take advantage of the only ecosystem that allows them to purchase a new used or CPO vehicle fully online. Though sales of new vehicles continue to be restrained due to a lack of inventory, we achieved a 55% increase in Clicklane sales year-over-year. 92% of our transactions this quarter were with customers that were incremental to Asbury's dealership network. Average transaction time remained roughly in-line with prior quarters, 8 minutes for cash deals, and 14 minutes for finance deals. Total front-end PVR of $3,765 and F&I PVR of $2,166, which equates to $5,927 of total front-end yield. The average Clicklane customer credit score continues to be over 700, which is higher than the average credit score at our stores. The average down payment for vehicles was $8,871. 80% of consumer seeking financing received instant approval, while an additional 10% requires some offline assistance. 90% of those that apply were approved for financing. 44% of Clicklane sales had a trade-in’s with 62% of such trades reconditioned in retail to consumers, and 95% of our Clicklane delivers are within a 50 mile radius of our stores, thus allowing us the opportunity to retain our new customers in our parts and service departments. Clicklane customers are converting at nearly double the rate of traditional Internet lease, but we won't see the full potential until inventory levels normalize. We are excited to announce Clicklane’s second iteration of F&I products. Please reference our investor presentation starting on Page 19 for related details in visuals. We have revamped the user experience to include a guided and hybrid approach that allows the consumer to purchase in a manner that is convenient for them. In addition, we are fully integrating TCA and e-contracting in the mix. As we roll out Clicklane to our recently acquired stores, we expect sales to increase generating approximately $2.2 billion in revenue by the end of 2023. I will now hand the call over to Michael to discuss our financial performance. Michael? 
Michael Welch: Thank you, Dan. To our investors, analysts, team members, and other participants on our call, good morning. I would like to provide some financial highlights for our company. For additional details on our financial performance for the quarter, please see our financial supplement in our press release and our investor presentation on our website. Overall, compared to the same quarter last year, adjusted net income increased 47% to two $223 million, and adjusted EPS increased 29% to $10.04. Net income for the same quarter of 2022 was adjusted [for] [ph] one-time pretax losses totaling $29 million or $0.97 per diluted share, primarily related to the sale of dealerships in the quarter. Net income for the second quarter 2021 was adjusted for real estate net gains of $500,000 or $0.02 per diluted share. Year to date, we generated adjusted operating cash flow of $544 million, which combined with proceeds from the invested stores allowed pay down $487 million of debt and our used vehicle volume and repurchased 200 million in shares. Excluding real estate purchases, year-to-date, we spent approximately $40 million on capital expenditures. Our balance sheet remains strong as we ended the quarter with approximately $1 billion of liquidity comprised of cash excluding cash to Total Care Auto, floorplan offset accounts, and availability on both our used line and revolving credit facility. Also at the end of the quarter, our pro forma adjusted net leverage ratios stood at 2.1x, down from 2.7x at year-end. For 2022, we are planning for CapEx of approximately 120 million. This amount excludes real estate purchases and potential lease buyout opportunities that we consider to be financing transactions. For the quarter, TCA made $9 million of pretax income, which included $8 million of unrealized losses on equity investments. Excluding these unrealized losses, TCA would have made $17 million for the quarter. I would like to thank all of our teammates throughout Asbury who dedicate themselves to building a brighter future for ourselves, our communities, and our shareholders. I will now hand the call back over to David to provide some closing remarks. David?
David Hult: Thank you, Michael. In closing, we are generating robust cash flow. We've reduced our net leverage more than expected and we are considering strategically aligned opportunities for disciplined growth. We are optimistic about the future of Asbury and achieving our 2025 plan, while delivering for our shareholders. This concludes our prepared remarks. We will now turn the call over to the operator and take your questions. Operator?
Operator: Thank you. [Operator Instructions] The first question today comes from Daniel Imbro of Stephens, Inc.
Daniel Imbro: Hey, good morning, guys. Congrats on the quarter and thanks for taking our questions. On the parts and service side, I'm not sure Dan, if you want to address this, but showing continued strong growth, I'd be curious what are the initiatives that you've implemented that have been driving this double-digit growth, maybe helping you guys gain share? And then curious for any update on the labor backdrop on the technician side? Is there any alleviate on that as the labor market loosens or how is that developing?
Dan Clara: Hey, Daniel. Good morning. This is Dan. So, on the growth in our fixed operations. For the last few years, we have been sharing with you our online initiative of making it convenient for the consumers to schedule their appointments online. Last quarter, we saw a 38% increase year-over-year from consumers taking advantage of that. Now, you can have that availability all you want out there, but if you don't have the throughput in your shops to get the work in and out, it's almost irrelevant. So, the good news is, not only are we being convenient for our consumers to schedule online, but we also have the throughput in our stores and we saw our technician headcount also increase year-over-year. That was the second part of the question. Oh, I think you asked me about technicians. Listen, the technician situation is still the same that it has been. I think that you can still hire and recruit technicians, but we're mainly focused not only at hiring recruiting them, but retaining them a, most importantly, and b, is developing those from within. The moment that you can get an entry level technician and move them up to a C-level technician, a B-level technician and ultimately master tech. You build a tremendous amount of loyalty, tremendous amount of knowledge, And again, it helps us get that through the shop.
Daniel Imbro: Thanks Dan. Thanks Dan. I wonder at second one on Clicklane, you know penetration is growing and I know the F&I PVR is a bit light of the company average. There were plenty of slides in the slide deck this morning, kind of rolling out new functionality, but I'm curious, do you think there's an opportunity to drive that F&I PVR higher on the Clicklane platform and maybe even higher than the chain average or what your consumer there is opting into that you can help drive that metric higher?
Dan Clara: Yes. I think that it all comes back down to what the guest wants and the convenience of being able to acquire or protect their investment, the way that they choose. And what I mean by that is, let's say that nobody likes to be sold something. With this new iteration of the F&I product, you can see, if you look through the deck, that you have the ability to build à la carte for lack of a better term or you can also build or select from the different bundles. So, we do believe that there is an increase in how consumers are going to protect their investments and excited to see what results we have but we're excited to releasing the second iteration of the F&I of Clicklane.
David Hult: And I'll just add to that. I haven't paid attention if everyone discusses their F&I numbers on their transactional tools online, but from our perspective over 2,100 a car, really self-selecting by the consumer and no engagement whatsoever from an Asbury employee. We think those numbers are pretty strong. That was our first version of the F&I products that we launched.  So, technology has gotten better. The visualization to present the products is getting better. So, we actually think there is room to improve on it, but we're really quite pleased with the self-selection for the consumer being over 2,000.
Daniel Imbro : Are all of the same products available on the Clicklane as in a dealership?
Dan Clara: Yes, we focused on the core products. Some dealerships have unique circumstances within their markets and their brands where they might sell some additional products. We kind of stay focused on the national mainstay products on the platform.
Daniel Imbro: Great. And last one for me. Michael, just on the balance sheet, about 2x net leverage here, where would you want to get that down to over the intermediate term before maybe looking at more M&A? And on the buyback, it looks like you bought back 1.1 million shares. I think that exhausts the existing authorization. So, where does that bend your capital priorities? Thanks.
Michael Welch: So, on the share buybacks that was all done in the first quarter. And so that's all just first quarter share buybacks and nothing in the second quarter. From a leverage perspective, we want to get down [indiscernible] 2x before we start looking at acquisitions again. And so we're at the level we want to be at in terms of leverage to be able to be acquisitive on the acquisition front. So, first priority is acquisitions, but of course, with the share price being a little volatile, there's some opportunities for some share buybacks as well.
Daniel Imbro: Great. Thanks for the color. Best of luck going forward, guys.
Dan Clara: Thank you.
Operator: Our next question comes from Rajat Gupta of J.P. Morgan.
Rajat Gupta: Great. Good morning and thanks for taking the questions. Ford on their earnings call made some interesting comments last night, did they continue to see the dealers as key to their electric vehicle strategy, but also noted how the profile of the dealership margin structure might change? We also made some comments around floor plan assistance, which was not new and talked about 1,600 to 1,700 pricing related compression GPUs over time. My sense is that putting these together in a low inventory model, it implies that if all of the above were to actually happen, it would still put GPUs comfortably above pre-pandemic levels, and also lead to structurally lower SG&A. Just curious if I'm missing anything there, if you could just provide your thoughts and investors should all be concerned about dealer bottom line EBITDA margins going back to pre-pandemic levels? Thanks. And I have a follow-up.
David Hult : Rajat, this is David. I'll address it as best I can. Without disclosing too many private conversations with our manufacturer partner, we feel really lucky and proud to represent the Ford brand and we're very optimistic about the future with them. I think some of it gets a little bit lost in context. When I was talking about the margin, it's not as much of it going away as much as it might be being redistributed in other sections through the ownership piece of it, and naturally performance on the guest experience. I think we're in uncharted territories going forward into this EV market growing the way that it is and everyone coming to market with their products. And we still need to find out if the average consumer has the propensity to buy electric vehicles right out of the gate. What I would say is, we feel like with what we've done with our omni-channel approach, what we've done with our digital tools, and where we think the future is going?  We think we're really well-positioned to be a really good partner. We still feel the same going forward as it relates to SG&A. We think over the next few years we have an opportunity to bring it down over time, but the age old supply and demand retaining margins I would say this, I've said it in past quarters, so I'm going to stay consistent with it, even if inventories normalize and we get back to a pre-pandemic inventory levels, you won't see us get back to pre-pandemic margins or I shouldn't say margins, gross profits per vehicles. I think we're a different company. I think it's a different time and space right now. And I think you'll see elevated margins from pre-pandemic levels going forward even as the day supply grows.
Rajat Gupta: Got it, got it. That's helpful. And maybe just to follow-up on some of your comments in the prepared remarks around consumers still financially healthy, maybe, like, if you could give us a more, like, latest updates in terms of, you know, what you're seeing on the ground, you know, any pockets of weakness anywhere in any region with respect to underlying demand in general? Because it seems like you're reiterating your long-term target, which assume a 17 million SAAR environment. Is that still a base case assumption based on how you see the macro unfolding here? Thanks.
David Hult: Yes. I'll start and then Dan can jump in. If I miss something, please come back around. We see next year’s SAAR improving on this year. We certainly don't see at 17 million. Maybe it's in the high 14s, low 15s next year, it’s really too difficult to predict now, but I think our model implies by the end of 2024, 2025, we're back to a 17 million SAAR. Certainly, we can be wrong on that assumption, but that's what we believe as we sit here today. Did I miss another piece of that? I'm sorry.
Rajat Gupta: No, that was it. Just in general, right, on the ground, what you're seeing today, is there any pockets of weakness in terms of demand? I think you mentioned in the prepared remarks that the financial conditions, sort of remain pretty healthy for the consumer, but just curious if you have some, sort of a lead on like how the underlying demand is changing, given just the recent inflation trends, gas prices, etcetera?
David Hult: I would say parts and service remain strong. The traffic is still great. People are still spending the same dollars and greater dollars quarter-over-quarter in the service department. So, I think that's great. I think the new car business is solid, but it's really hard to understand how strong it is because you have such a low days supply. Generally speaking, we're still pre-selling half the cars that are coming in. So, a lot of these cars aren't getting to hit the ground. It varies a little bit by brand, but generally that's where it is overall. I would say the used car market is softening from what it was in the last six months, but greater than it's been in the last few years. It's been bouncing around a little bit the last six to eight weeks as it relates to valuations. And when I would say people were impulsively buying six months ago, they're probably putting a little bit more thought in care into the selection and the pricing right now. So, I think we're still trying to find the footing what the valuations are going to be for the rest of the year. It's still healthy, it’s still strong on the used business, but of all the segments, I would say that's the one where it's trying to find its footing to move forward.
Rajat Gupta: Understood. Makes sense. Thanks a lot.
David Hult: Thank you.
Operator: [Operator Instructions] The next question today comes from Dave Whiston of Morningstar. 
Dave Whiston: Thanks. Good morning. You talked about 90% of Clicklane customers who want a loan can get one, just curious about that 10% that gets rejected, is that purely a credit score issue or are there other variables?
Dan Clara: Yes. So, it's a combination you got to – you have some negative equity concerns or opportunities. In some cases, it might be credit score, but keep in mind, I stated in the script that the average credit score on Clicklane is 700, which is higher than what our stores is. So, we're traditionally and the vast majority of the credit that we see coming through Clicklane is a very good credit customer, which allows us to offer the 90% approval rating that I mentioned.
David Hult: And Dave, just to follow-up on that, our previous tool is what we've referred to as a super lead generator. It took a sale to a certain point, but you couldn't fully transact online. We saw a lot more subprime in lower credit scores on that tool. With this fully transactional tool, we've been impressed with the much higher credit scores and the consistency of it. And our belief is because the consumer now understands it's a fully transactional tool, customers with strong credit aren't worried about the financing. They're worried about their time. So, that's why we think we're seeing better credit. But traditionally digital tools are not, you never get a 100% on the people finance. It’s always unique circumstances. There are some people you just can't help out, but we have also launched some lenders into our loan marketplace that are considered subprime lenders. So, we think 90% is really strong. We think an average credit score over 700 is great, but there's always room for improvement.
Dave Whiston: Okay. And on the F&I 2.0 bundle, I looked at the slides. I guess I'm not totally clear, can you still do a la carte if you want to or is that not even an option? And I guess the subset of that is, you've got these bottle packages, but can you customize within one package and say, well, of these five things offered, I only want three of them?
Dan Clara: Yes. This is Dan again, absolutely. Keep in mind from day one when we built this – when we built Clicklane, we did it all based on what is in the best for the consumer. So, 100% you can go in there and you're going to be able to build a la carte, you can – when you have a bundle, if you want to delete a product or build it the way that you want it, by all means you can definitely do it. All we're doing is just providing some options, but at the end of the day, the consumer can decide what he or she wants from the comfort of their home or their office.
Dave Whiston: Okay. And just a Q3 event, how bad is the St. Louis flooding for your stores?
David Hult : Yes. We've been lucky. It hasn't caused any physical damage. It's horrible what's going on in the city and certainly people have been harmed, but our physical locations are fine.
Dave Whiston: Okay. Thanks guys. Thank you.
Operator: Our next question comes from Ryan Sigdahl of Craig-Hallum Capital Group.
Ryan Sigdahl: Good morning. Just want to follow-up on the F&I interface change. And so it looks like F&I was down quarter-over-quarter versus Q1. I guess can you talk to that decrease? And then if the interface change had anything to do with that?
David Hult: I think when you say F&I was down, you're specifically talking about Clicklane F&I?
Ryan Sigdahl: That is correct. It was [21.66 versus 22.91] [ph]?
David Hult: Yes. Just want to make sure. So, the second iteration of F&I is being rolled out as we speak. So, it's going to start being consumers taking advantage of it. I believe in a couple of weeks, if I'm not mistaken. So, the second iteration did not have any negative impact on that number at all.
Dan Clara: The other thing I would mention, you know with the light inventories, generally speaking, our F&I dollars are higher on new vehicles than used vehicles, both in product sales and reserve because the cost of the vehicle is higher. So, depending upon the balance and what you're selling, the F&I number moves around a little bit. More domestic trucks are going to have higher PBRs than lower import cars. So, I think it's really just about what transacts on that line. I think it will always move around a little bit depending upon the spread of the brand mix, and how much of it is newly used, but again, and I don't know if our peers are quoting any numbers, but to be over 2,100 a car in F&I with the consumer self-selecting compared to 2,400 with us selling the product face to face, we think that's really strong.
Ryan Sigdahl: Yes. Then just one on new vehicle, so unit same store sales down 31%, obviously challenged inventory situation across everyone, but any idea how you're doing relative to competitors in your specific markets, stock and market share?
David Hult: Yes. So, it's frustrating because you have to look at each brand in each market definitely. I mean, some of our stores at the end of the month have a zero-day supplier cars and they're still losing a little bit of market share because someone might have a few more vehicles than to sell their timing of when cars get reported. We're selling everything we have. We got hit hardest on the import. It just is what it is in the quarter as far as deliveries and what's going on with the chip shortage. We got really hit hard with the domestic trucks as well. So, it's really spotty by brand, but based upon our brand mix, I think the reality of it is that really low number is simply a reflection of what we were allocated. We're turning what we're getting. That 13-day supply I would tell you was high because we had so many cars delivered at the end of the quarter. We just couldn't report and transact in time to close the count of revenue for the quarter. So, I would say, we were several days below that number in actuality.
Ryan Sigdahl: Great. Thanks. Good luck.
David Hult: Thank you.
Operator: Our next question is from Bret Jordan of Jefferies.
Bret Jordan: Hey, good morning, guys.
David Hult: Hey, good morning.
Bret Jordan: You looked at the correlation of F&I to PVR, our customer is spending more because of the transaction value is higher or if transaction values declined with supply rebound, would they have more available, sort of from a monthly spend standpoint? 
David Hult: Yes, I would say, I think Dan touched on it earlier. We love to buy things. We hate to be sold things. And I think when we're buying new vehicles with all the new technology, people want to make sure that their asset is protected as best as possible, so they're really searching out for products to make sure that they do that. The used car customer varies slightly depending upon if it's a used car customer buying a $50,000 pre-owned luxury car or a $15,000 car. Those folks tend to be slightly more conservative, slightly less focused on enhancing the security of the vehicle in buying products. That's been fairly consistent for the last couple of decades regardless of it's an online transaction or an in-store transaction. I would say as, generally speaking, every year, the cost of sale keeps going up. I would think based upon the ebb and flow; you'll continue to see F&I numbers grow. Not at the staggering rate that we're at now, but I think you'll see it continually grow.
Bret Jordan: On the question on used, I guess, obviously it's been a challenging market to be profitable just given the cost of inventory. Are you seeing much change in the market either contraction of the independent used only dealers or even some of the bigger used only dealers that have entered? Do you see this environment sort of driving any attrition or does everybody sort of get through this in one piece?
David Hult: Yes. I don't know how much awareness I have to the full market to answer that, but my impression is, the independent dealers have a much harder road than the franchise dealer as far as securing inventory to sell. I think they're feeling far more squeezed than we are. And we have the benefit of offering CPO programs and Dan talked about all the different sourcing that we have for used vehicles. Again, I think our numbers were pretty good in the quarter. I think where it wasn't about chasing volume as much as it was, making sure that we're getting a good return. We look at a used car. If it's a cost of sale of 20,000, we're making a $20,000 investment, what a fair return on that? And during the quarter, we had some movement in valuations from the markets shift and go up and down. So, that affected our PVR in quarter as well. So, there's always more opportunity to grow. There's always more opportunity for more volume, but we see going forward the used car business should get better for us over time. And when I say that, I don't necessarily mean in Q3 or Q4, but as you start to get into next year and products become more available, and rental car company fleets have to turn cars over, there'll be more access to inventory for us to move.
Bret Jordan: Great. Thank you.
David Hult: Thank you.
David Hult: This concludes today's discussion. We… I'm sorry, go ahead.
Operator: No, please go ahead.
David Hult: No. Was there another question?
Operator: No, no.
David Hult: Okay. This concludes today's discussion. We appreciate your participation and looking forward to speaking with you next quarter. Have a great day.